Operator: Good afternoon, and welcome to the Green Dot Corporation Second Quarter 2025 Conference Call. [Operator Instructions] please note, this event is being recorded. I would now like to turn the conference over to Tim Willey, Senior Vice President, Finance and Corporate Development. Please go ahead.
Timothy Wayne Willi: Thank you, and good afternoon, everyone. Today, we are discussing Green Dot's second quarter 2025 financial and operating results. Following our remarks, we'll open the call for your questions. Our most recent earnings release that accompanies this call and webcast can be found at ir.greendot.com. As a reminder, our comments may include forward-looking statements and expectations regarding future results and performance. Please refer to the cautionary language in the earnings release and in Green Dot's filings with the Securities and Exchange Commission, including our most recent Form 10-K and 10-Q for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will refer to our financial measures that do not conform with generally accepted accounting principles. For the sake of clarity, unless otherwise noted, all numbers we talk about today will be on a non-GAAP basis. Information may be calculated differently than similar non-GAAP data presented by other companies. Quantitative reconciliation of our non-GAAP financial information to the directly comparable GAAP financial information appears in today's press release. The content of this call is property of the Green Dot Corporation and is subject to copyright protection. Now I'd like to turn the call over to Bill.
William I. Jacobs: Good afternoon, and thank you for joining our second quarter 2025 earnings call. Today, I will start with some comments on the quarter and then turn it over to Chris for an update on our business development and go-to-market efforts. Jess will then discuss our financials in more detail, and I will conclude with some final comments, observations before taking your questions. Now let's turn to the quarter. It was a strong second quarter with results continuing to outpace our expectations. Adjusted revenue was up 24% and adjusted EBITDA was up 34%, both ahead of plan, which Jess will provide more detail on shortly. The team remained focused on strengthening our revenue engine by signing and launching new partners in the quarter, driving scale and savings in our operations and investing in our infrastructure to support customers and partners while ensuring that we can manage sustainable long- term growth across the enterprise. Our embedded finance platform, ARC, is seeing continued momentum and increasing demand. During the quarter, we launched new products, including Samsung's tap to Transfer feature, which has generated impressive engagement to date. We made progress preparing to launch other new partners like crypto.com, Dolefintech and more. We continued building a strong and healthy pipeline to fuel future scalable growth. I am also pleased to touch on the improvements we're making to transform our bank and balance sheet into profit generators. We repositioned a portion of the balance sheet earlier this year and intend to make additional changes in the coming months to further improve yields and overall profitability. To expand on this a little further, over the last few years, our balance sheet strategy was focused mostly on managing risk and liquidity as we work to improve our operating infrastructure in areas like compliance and risk management, areas critical to the stability and success of our business. We are pleased to report we are making progress addressing operational challenges and vastly improving our risk and compliance functions. Without losing sight of these needs, we have also been able to turn attention towards optimizing the profitability of our balance sheet while maintaining a conservative risk profile. Given the growth we are planning for in embedded finance, we expect to generate deposit growth and make those deposits work for us. As a sign, New partners, we're putting greater emphasis on structuring partnerships to prioritize and maximize the returns we earn from our balance sheet, not just the traditional fee revenue that we have historically focused on. Over the last couple of years, we have talked about our investments in compliance and risk as areas of competitive advantage, which we still believe to be true. Just as important, that competitive advantage will not only generate new partners, but also balance sheet growth. With a focus on improved profitability of the balance sheet, I am confident we will earn an attractive return on the investments we made over the last several years. Now let me turn it over to Chris to provide an update on our business development and our go-to-market efforts. Chris?
Chris Ruppel: Thank you, Bill, and good afternoon, everyone. As Bill mentioned, we continue to build on the momentum we saw in the first quarter. The second quarter was busy with new business wins and partner launches and collaborating with our BaaS retail and GDN partners on new initiatives to deliver mutual benefit and growth. Let me touch on several of the more noteworthy developments during the quarter. During the second quarter, we partnered with Samsung to introduce Samsung's tap to Transfer capability, which has generated impressive engagement since launching, and we're working closely with Samsung to develop future enhancements, which we look forward to sharing more details on in the coming months. With Tap to Transfer, Samsung Wallet to nearly 12 million U.S. users can quickly and seamlessly transfer funds from Samsung Wallet to any other digital wallet or contactless debit card with a simple tap of 2 mobile devices. We also signed a new BaaS partnership with Credit Sesame, a sizable and innovative consumer brand focused on financial and credit wellness. That has the potential to be a significant BaaS partner when fully implemented. We are thrilled that Credit Sesame, which was a competitive takeaway, chose to partner with Green Dot to power its Sesame Cash smart digital banking service and further their vision of educating and improving the financial lives of consumers across the country. In addition to Credit Sesame, we are busy preparing for the launch of several partners that will be key to building our momentum in the second half of 2025 and into 2026. These launches include Crypto.com, which we announced last quarter and a relatively new BaaS partner in the auto finance space that we hope to announce soon. In our retail channel, we are working to launch a new banking account program at over 5,500 Dule fintech locations nationwide, building on our momentum in the financial service centers or FSC channel. a powerful stat reinforcing the demand and momentum we are seeing in the embedded finance. In 2023 and 2024, we launched new FSC partner and new BaaS partner. In 2025, we expect to launch 7 new partners as our business development momentum translates into new wins, more onboardings and higher revenue. In money processing, we have signed and are launching several notable new partners, enabling seamless and convenient account access and the ability to add and withdraw cash at 90,000 locations across the country. The Green Dot Network, which is powered by our ARC platform, continues to add value for a growing list of partners and their customers, and we expect that to continue. I will now pivot to our efforts to expand and diversify our partnerships with new products and -- with more than 7,000 existing partners across BaaS money processing, retail and our other divisions, our cross-sell opportunity is sizable, and we are focused on driving further engagement and action on this front. I look at this opportunity from 2 perspectives: having our partners engage with more operating divisions and bringing more functionality to partner relationships. For example, a major retailer and pharmacy that recently signed a 5-year renewal to utilize our earned wage access capability, a product that shows significant growth potential is also a money processing partner in the Green Dot network. We see significant opportunities to explore and pursue new ways to expand and deepen our partnerships across retail, BaaS, GDN and even Rapid. This is a major focus for us in our embedded finance team comprised of BaaS and money processing, and we are already seeing traction in this area. We are focused on building upon relationships within specific channels, adding to the solution sets that we currently provide. Let me give you 2 quick examples. With one of our more recent BaaS launches, we successfully added new product features and subsequently worked with them to implement and drive adoption. As a result, the revenue growth generated by this partnership was 55% higher than the original product launch was projected to produce. A second example centers around improving the customer experience. We recently renewed Walmart, as you know, and we've already begun working with them to migrate the Walmart MoneyCard program off of our legacy platform, which will result in an improved user interface and customer experience and allow for a more robust product and feature development to help them build on their vision. Our revenue organization has now made it part of their DNA that even before the launch of new partners, we are engaging with them in the next phase of products and features to enhance their solutions and drive more engagement and revenue. Lastly, let me talk about our pipeline activity and health. So far this year, we've closed as much new business as we did for the full year 2024, with close rates pacing ahead of last year. Just as important, as new partners signed, we are replacing them with appealing new prospects and our aggregate risk-adjusted pipelines remain strong, reinforcing our confidence in the long-term stability of our business. Notably, we anticipate signing a new franchise operator in our tax business, one of the larger new business wins for that business in several years. This is an important win, and it will largely offset declining volumes of another large online partner and demonstrates the true resiliency we are building within our pipeline growth and business development efforts. As we continue building pipelines across our divisions, we are also looking at how we can realign and rightsize our organization for scalable long-term success. We recently made changes to the Rapid division aimed at accelerating earned wage access adoption and returning this division to meaningful growth. We are constantly seeking opportunities to optimize and realign our resources and teams to prioritize our growth strategy. In summary, we continue to build on our momentum as the market is increasingly aware of our capabilities as an embedded finance platform and value partner. We will continue to execute on streamlining the business to drive growth. With that, let me turn it over to Jess to discuss our second quarter results. Jess?
Jess Unruh: Thank you, Chris, and good afternoon, everyone. In the second quarter, our non-GAAP revenue grew 24% year-over-year and adjusted EBITDA increased 34%. Growth was primarily driven by our B2B segment and higher interest income alongside continued expense management efforts and some favorable timing factors. As a result of the strong performance, non-GAAP EPS reached $0.40 per share, representing a 60% year-over-year increase. Now let me touch on the factors that influence the performance of our segments. Refer to our press release and quarterly slide deck for segment results and key metrics. First up is our B2B segment, which is comprised of our BaaS channel, powered by our ARC platform and our rapid Employer Services division. Revenue growth of just under 40% continues to be driven by a significant BaaS partner, along with growth in the rest of the BaaS portfolio. Key operating metrics within the BaaS channel, such as active accounts and purchase volume continue to show solid increases as we collaborate to drive growth with existing partners and launch new ones. As Chris mentioned, we are dedicated to helping partners expand their programs and identify opportunities to broaden the range of products and services offered to their customers. We are seeing notable progress in these efforts. And as we launch new partners, we are heavily engaged with them on this front. Based upon the success we are experiencing with existing partners, coupled with a pipeline of new launches and prospects, I'm optimistic that we will continue to see momentum in the BaaS channel. Our rapid Employer Services channel continued to experience revenue declines due to decreased active accounts and volumes, primarily because of challenges faced by our larger staffing industry partners. As previously discussed, the staffing industry, one of our largest verticals, has struggled for nearly 2 years and hasn't recovered. Although there is optimism about stabilization, we haven't seen a rebound. However, our year-to-date sales performance in PayCard outside of staffing verticals has been strong compared to last year, positioning us for growth once the staffing sector stabilizes and recovers. We have a new leader in this business, and she is currently rightsizing sales and support personnel to refine the approach to the traditional pay card market while shifting resources to place a greater emphasis on earned wage access or EWA, to ensure that we capitalize on that market, which is a logical extension to our current PayCard offering. Overall, the B2B segment experienced approximately 45 basis points of margin expansion due to improved profitability in rapid Employer Services, while BaaS margins were generally flat with last year. The improvement was driven by overcoming deconversion headwinds, achieving revenue growth in the BaaS channel, renewals of key partners in 2024 that provide for improved economics and focusing on efficiency and scale. Notably, we significantly reduced transaction losses, fraud management expenses and costs in our customer care operations in the Rapid Employer Services division, resulting in profit growth for that operation despite the decline in revenue. Although we usually discuss the Corporate segment last, I want to highlight our bank interest income growth. As Bill mentioned, optimizing our balance sheet and increasing interest income has become a key operational strategy. This year, we have already repositioned a portion of our securities portfolio and plan to invest more of our cash in the coming months. By improving our asset mix and growing deposits in our BaaS business, interest income should become a more prominent part of the story. In Q2, corporate segment revenues consisting primarily of interest income, net of partner interest sharing grew year-over-year due to rate cuts in the second half of last year that improved the balance between yields on our cash and investments and interest shared with partners as well as an improved yield from our bond repositioning. This top line growth comes with little to no incremental costs. Expenses in the Corporate segment were up modestly due to some increases in technology-related costs as well as modestly higher bonus accruals with our improved earnings performance. Next is our Money Movement segment, which includes our tax processing business and our money processing business. The tax business outperformed our expectations in the second quarter as we continue to benefit from the expansion of our taxpayer advance programs and a favorable mix shift in distribution channels that resulted in higher revenue per transaction. Year-to-date, refund transfer volumes declined year-over-year, mainly due to reduced activity from a major partner in our online channel. Since our online channel generates lower revenue per transaction, this decline has been offset by higher volume from our professional channel, which is more profitable on a per transaction basis. For the first half of the year, profits from this division are up over 10% versus last year, and we are confident that the tax business will exceed our original expectations for the year. We are working on building out numerous new products and services and adding new partnerships that broaden our product set for the 2026 tax season to help build on the momentum in 2025. Revenue in our money processing business, driven mainly by cash transfer volumes on the Green Dot Network, declined modestly this quarter, primarily due to an 8% decrease in transactions, driven by softness in both our consumer segment active base and third-party programs. While active accounts in our Consumer segment have continued to stabilize because of the ramp in new financial service center partners, these programs, at least for the time being, generate fewer reloads per active account than our branded programs in retail, which continue to experience consistent mid-teen percentage declines. Third-party cash transfers were down 2% year-over-year, largely because of lower volume from 2 partners whose activity yields lower revenue per transaction. If we exclude those 2 partners, third-party transactions actually grew by 5% -- this shift away from low revenue transactions led to an 8% increase in our average revenue per transaction compared to last year, helping to partially offset the overall revenue impact from lower transaction volume. With money processing operations more closely integrated with the BaaS business under the Arq brand, we expect to keep a healthy and active pipeline of potential partners. This, together with recent launches of new cash transfer and digital disbursement partnerships, including Samsung, a solid schedule of additional launches anticipated through the balance of 2025 and continued improvement in our consumer business gives us confidence that we are well positioned to continue building on our momentum from previous quarters. Profitability in the segment remains strong with margins up approximately 45 basis points. Margin improvement in money processing due in part to favorable mix shift, offset some slight declines in our tax business, which had outsized margin gains a year ago. Now I'll turn to our Consumer Services segment, which is comprised of our retail and direct channels. While the Consumer segment remains under pressure due to secular headwinds in the retail channel, segment revenue and active account declines continue to moderate relative to prior years. This improvement is largely due to our partnership with PLS and efforts to enhance customer experience, functionality and retention. The PLS partnership has positively impacted the retail channel with active accounts flat with last year. Additionally, key metrics like GDV and revenue per active account in retail were up 4% and 2%, respectively, when compared to the second quarter of last year. Given our ongoing efforts to enhance customer retention, the upcoming launch of Dole Fintech and the renewal of key agreements with Walmart, I'm optimistic that the decline in retail will continue to level off. The decrease in active accounts continues to stabilize, and I'm confident in our strategy to strengthen customer engagement through new products and features. Additionally, by expanding into new markets, such as the FSC channel, we anticipate onboarding new partners and increasing our market share. Our efforts to reposition the direct channel continue. Due to reduced marketing spend over the last year, revenue has remained under pressure. We remain focused on developing a more robust product and enhancing the customer interface to drive improved customer acquisition and retention. While second quarter revenue decreased, direct channel margins improved by 200 basis points, resulting in only a modest decline in profits, consistent with our commitment to balancing investment in growth with profitability. We are progressing with platform feature enhancements and user experience improvements, while new smaller channel partnerships present incremental growth opportunities and support our goal to return this division to positive revenue growth. Overall, segment margins were flat to last year as lower retail margins were balanced by increases in the direct channel. The direct channel experienced improved margins primarily due to operating expense management, including notable reductions in transaction and fraud management expenses compared to last year. Before I discuss guidance, I want to briefly comment on our GAAP results this quarter. As I mentioned on our prior call, we renewed several key contracts with Walmart. In connection with these renewals, our Tailfin joint venture made a $70 million incentive payment to a Walmart affiliate during Q2, resulting in a $70 million noncash charge recorded as equity and losses in the quarter. This payment did not require any incremental cash flow from us. Our partnership with Walmart continues to provide strong economic returns. Tailfin remains well capitalized, and we are optimistic about the opportunity to work with Walmart for the next 7 years. Now let me provide you with updated guidance for 2025. We performed better than our internal projections. While some of the benefits in the first half of the year are due to timing, I believe that certain aspects represent overperformance for the year. Provided the current volatility in the economy does not significantly impact customers' behavior or our business in general, we are adjusting guidance as follows: we expect non-GAAP revenue of $2 billion to $2.1 billion, consistent with our prior guidance. We expect adjusted EBITDA of $160 million to $170 million, up from the previous guidance of $150 million to $160 million and non-GAAP EPS of $1.28 to $1.42 as compared to our prior guidance of $1.14 to $1.28. Our strong adjusted EBITDA growth in the first half was primarily driven by BaaS tax processing and increased interest income at Green Dot Bank. Looking ahead to the second half, we expect to continue to benefit from improved yields at Green Dot Bank. However, we're anticipating a year-over-year decline in adjusted EBITDA, mainly due to challenging prior year comparisons. Our corporate segment expenses are expected to increase year-over-year from higher bonus accruals after reducing them in 2024, a concentration of investments in our regulatory compliance and infrastructure in Q3 and Q4 that we had planned for earlier in the year, and we also intend to make investments to support new partner launches in our B2B and money movement segments. We are also lapping improvements in fraud management expenses last year and some lost high-margin revenue following the partner deconversions in retail that we've discussed on prior calls. Additionally, we have lowered the outlook for our money processing division as new partner launches are ramping at a slower pace than anticipated, and we are taking a more conservative stance on the outlook for our Rapid Employer Services division as we are not yet seeing stabilization in our larger staffing partners. All in, we expect consolidated revenue growth in Q3 to be in the mid-teens and mid- to upper single digits in Q4, while adjusted EBITDA margins down roughly 500 basis points for the reasons I highlighted a minute ago. Our segments are expected to play out as follows: B2B segment revenue is expected to moderate over the remaining quarters, but will still show strong growth with a full year expectation of growth in the low 30% range for 2025. I expect margins in our B2B segment to be down a bit versus 2024 due to revenue mix. Money Movement segment revenue is now expected to see flattish revenue growth. The strong performance of our tax business is being offset by declines in money processing as the ramp from new third-party partners is not enough to offset declines in transactions from Green Dot branded accounts. As I mentioned earlier, we have several new partners to launch in money processing and a robust pipeline of prospects, which drives my confidence in this business despite slightly lower expectations for the second half of the year. I expect margins for the Money Movement segment to be up versus last year, given the strength of the tax processing business, some favorable mix shift in money processing and continued vigilance on expense across the division. Consumer segment revenue is projected to decline in the low double digits with a sharper drop in the fourth quarter due to discrete revenue items that benefited Q4 2024, such as breakage and project-based revenue. Excluding these noncore revenue decreases, we project recurring consumer segment revenue to be down in the mid-single digits, reflecting our progress in this part of our business. We don't expect our launch of Dole Fintech to have a material impact on 2025, but I anticipate that this launch and the likelihood of additional FSC signings to have a more pronounced impact in 2026. Overall, we expect Consumer segment margins to be down 450 to 500 basis points and at a level comparable to 2023. Excluding the benefits of the noncore revenue in 2024 that I just mentioned, I estimate that margins would be down approximately 200 to 250 basis points. In summary, I remain encouraged by our outlook for growth in the B2B segment, where we have a backlog of partners to launch in our BaaS business. The growth of BaaS will drive deposit growth, and we will continue to work to optimize the net yield of our balance sheet. While Rapid still faces headwinds, we have a new leader at the top of the organization who is aggressively rightsizing that business and putting more focus on EWA, where there is a large opportunity, and I'm confident we can see success. In the Money Movement segment, we still have several new partners to launch this year with a robust pipeline of business opportunities to drive the third-party business. This expectation reinforces my confidence that our investments in these areas are enabling us to capitalize on the vast opportunity within those markets. Though we still anticipate declines in our Consumer segment, we are preparing to launch Dole Fintech, which has approximately 5,500 locations, and we believe that we are likely to sign additional partners in the SSC channel, which should help moderate the overall decline of the channel. As a final note, we will be filing a shelf registration with the SEC to preserve financial flexibility and optionality. At this time, we have no plans to utilize the facility. With that, let me turn it back over to Bill for some closing comments.
William I. Jacobs: Thank you, Jess. It was a solid quarter, and we are pleased with the progress we are making as we sign, launch and expand our partnerships, improve the profitability of our balance sheet and continue executing on our operational imperatives, including realigning our resources to support our core priorities and growth strategy. We launched Samsung during the quarter, are preparing to launch crypto.com and other recently signed Ba partners, and we are optimistic about our opportunities in the financial services channel and the unique value proposition we offer. Just as important, -- those customers that we have worked with for many years continue to place their trust in us to help them deliver on their own aspirations for embedded finance, and we are thrilled that they recognize the value of partnering with us. The last several years, the company has undertaken numerous initiatives and made substantial investments to position Green Dot to return to sustainable, predictable growth. We have made investments to modernize our technology infrastructure, build a more robust platform of products and services and bolstered our business development efforts with new and existing partners and a healthy pipeline. The organization is also focused on continuing to make investments to ensure our infrastructure can support the requirements of a growing customer base, including critical areas such as onboarding, customer care and risk management. Green Dot is becoming a proactive, adaptive and resilient organization. As partners come and go, our foundation continues to strengthen with more partners, a stronger pipeline and more powerful and efficient platform, making us less susceptible and more resilient to market dynamics and partner decisions and circumstances. Over the last several years, we have become a more proactive, decisive company and have ensured that we have a better lens into our operations, our partners and our customers, enabling us to adapt as needed with a higher probability of success. As one partner sees declining volumes, we effectively replace and continue growing revenues through other partners. We were in a very different position just a few years ago, and I commend the team for their work to get us here and look forward to continuing that growth momentum. I am increasingly confident we are positioned to win in the embedded finance market and would like to thank the team for all of their hard work serving our customers, partners and stakeholders. With that, we are happy to take your questions.
Operator: [Operator Instructions] The first question is from Chris Kennedy with William Blair.
Jess Unruh: Leveraging the bank and the balance sheet to improve profitability, can you just talk about kind of where you are on that journey?
William I. Jacobs: Well, we're really at just past the beginning stage. Jeff mentioned in his report that we repositioned part of the portfolio earlier in the year. And at our last Board meeting, we spoke with the Board about some more repositioning that will take place through the rest of the year. We've got some internal positions that need to be adjusted. We need to talk to the Board about our investment policy, and we'll be making those changes through the rest of this year.
Jess Unruh: Is there any way to quantify kind of the improving profitability of the bank as you kind of reposition it?
Chris Ruppel: Jeff...
Jess Unruh: I would...
Unidentified Company Representative: Yes, sure. Thanks, Bill. And good summary. Yes, we're going to take the bond portfolio that we sold in, I guess, it was late -- or sorry, early Q2. We're repositioning that now. And then we'll take our deposit growth that currently is residing in cash and start to deploy that into generally floating rate securities. And some of those are going to be what I consider relatively low-risk investment securities, but nonetheless, provide, one, great solid liquidity in the event we need to sell them for any reason. And two, and probably more importantly, they provide a yield enhancement above cash. So the way to think about this is those securities would range somewhere between -- would yield something between 5% to almost 7%. So you can kind of use the balance sheet today and how it's constructed, assume that more cash is deployed into investment securities and those securities are going to be -- the new securities will be earning something in the range of 5% to 7%. And that's subject to -- I will just point out just because these are floating rate, they are subject to changes. They're tied to SOFR, which is highly tied to IRB. So they will be subject to fluctuations in overnight rates.
Jess Unruh: Great. And then just as a follow-up, any update on the strategic -- the review of the strategic alternatives?
William I. Jacobs: Sure. And thanks for the question. As we mentioned in March that we were beginning a strategic review and in our in our first quarter call, we said we would come back when we feel we have significant information to provide the market. At this point, the review is still undergoing, and we don't have an update to give at this point. And clearly, when we think we have something of real significance for the market, we'll make a further announcement.
Operator: The next question is from George Sutton with Craig-Hallum.
George Frederick Sutton: This is Logan on for George. I want to start on your comments about shifting kind of the strategy to go after earned wage access. I was hoping you could give us a bit more detail in terms of what the shifts are and how they might enable you to win more business there.
Chris Ruppel: Happy to. Logan, I appreciate the question. The shift is -- I would say that I classify it as we have had a -- the PayCard business resulted in or was mainly sold through territory managers that were geographically located, focusing on employer payroll card program selling to the payroll professionals. And so the shift there is a direct sales force selling EWA as their principal tool. And so we're focusing both marketing efforts and our sales resources on the EWA opportunity. The buyer there is slightly different. So they're focusing a different marketing mix, a different marketing motion to go after a greater number of employers in the EWA channel. but leveraging on the same expertise of our sales team. We have a very highly productive competent sales professionals in an organization, and we're leveraging that capability, but now directed into EWA-specific buyers and influencers to drive adoption and then also combining that with changes in our marketing spend to generate a greater velocity in our sales pipeline for EWA.
George Frederick Sutton: Got it. That's helpful. And just -- sorry, go ahead.
Chris Ruppel: No, please go ahead, sorry.
George Frederick Sutton: I was just going to say as a follow-up, nice to see the competitive takeaway with Credit test. I was hoping you could give us just a little more information there in terms of how long the deal took and sort of what you think enabled you to win that?
Chris Ruppel: So I think it was relatively typical in our pipeline. So our average sales leads, not specifically with Credit Sesame, but overall, generally, our sales cycles are about a year, 6 months to a year, and that we fell in that line. I think that what enabled us to win it is the robustness of the Arc platform, our capabilities to provide features that are attractive to -- in the market for those looking for embedded finance capabilities and our ability within -- to leverage the Arc platform to specifically create solutions that tailor to the partners' vision for how to service their customer. And so we were able to demonstrate that to Credit Sesame as we are with many partners in the market to win competitive takeaways and competitive deals.
William I. Jacobs: Yes. Let me just add -- we onboarded customer in '23, one customer in '24, and we're going to onboard 7 customers this year. I think that's a tribute to the organization that Chris has put together, and he's modestly saying about taking this away, but it's really about an organization that Green Dot now has to win in the competitive space.
Chris Ruppel: And thank you, Bill. I appreciate that addition. I would add to that, we've talked for -- from over many earnings calls over multiple years about the transformation of our technology platform and the improvement in that platform. And those investments are critical and have been critical and are leveraging those into the marketplace and demonstrating our value to the marketplace for embedded finance solutions and platform.
Operator: The next question is from Mike Grondahl with Northland.
Michael John Grondahl: This is Logan on for Mike. First, it was nice to see adjusted revenue and EBITDA up 24% and 34% year-over-year. Can you guys provide some additional color on what's exactly driving the growth from existing B2B partners and any feedback you're receiving from partners?
William I. Jacobs: Chris, do you want to talk that?
Chris Ruppel: Sure. I think specifically in the B2B space, we're seeing partners that are twofold. We -- and we talked about it a bit in our -- in the earnings call itself is we're expanding the solution sets for those partners. So with our largest BaaS partner, we're working with them regularly to develop new feature sets to drive engagement with their customers, drive continuing monetization of that activity for those partners and drive the revenues of the business. We're seeing that, and we're pursuing that down with every partner. So with each partner, we're building a road map for them of features that we can add of new ways that they want to serve their customers and then are resourcing that pipeline to allow us to have not just growth in the program, so working with them on their marketing programs to get greater adoption in their user bases. But within those customers that are that are already engaging to make sure that we're able to increase the products and feature sets that are available to them to drive further engagement and revenue within those partnerships and in those product sets. And so that's where we see it. It's twofold. It's the marketing programs to drive adoption and it is with those partners, and it's the feature set to grow the engagement with the customers.
Unidentified Company Representative: And I would just add, I think, Chris, you've also been successful in some of your renewals where you've been able to increase the overall economics through the long-term renewals in addition to driving engagement, et cetera, with the underlying base of consumers with those partners.
Chris Ruppel: I think -- go ahead.
Michael John Grondahl: That was very helpful color there. And then one more from us. Is there anything else to call out on the Crypto.com partnership just with how that process is going, long-term expectations there? Yes.
Chris Ruppel: At this point, I think just -- I think we're very excited about the possibilities of that partnership. We think that there is a long-term road map that we can continue to provide value for Crypto.com and into their customer base. And so we look forward to working with them on that. And our -- the teams are working closely and in concert to be able to bring that our current solution set to market. I think both parties are excited about the partnership. and our progress to date. So nothing to share other than that. I think we're -- we believe it's the -- is the right basis for a long-term successful partnership.
William I. Jacobs: Okay. Thank you very much. Well, that concludes the questions we have, and I want to thank you for attending our earnings call and the questions that you asked. We're all pretty optimistic about the future of Green Dot. So thank you very much, and I hope everybody has a good evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.